Operator: Greetings and welcome to the Euronet Worldwide First Quarter 2018 Earnings Conference Call. At this time, all participants are in a listen-only-mode. Later, we will conduct a question-and-answer session and instructions will be given at that time. [Operator Instructions]. It is now my pleasure to introduce your host, Mr. Jeff Newman, Executive Vice President and General Counsel for Euronet Worldwide. Thank you. Mr. Newman, you may begin.
Jeff Newman: Thank you, Takiya [ph]. Good morning and welcome everyone to Euronet's quarterly results conference call. We will present our results for the first quarter 2018 on this call. We have Mike Brown, our Chairman and CEO; and Rick Weller, our CFO and Kevin Caponecchi, CEO of our epay Division on the call. Before we begin, I need to call your attention to the forward-looking statements disclaimer on the first page of the PowerPoint presentation we will be making today. Statements made on this call that concern Euronet's or its management's intensions, expectations or predictions of future performance are forward-looking statements. Euronet's actual results may vary materially from those anticipated in such forward-looking statements as a result of a number of factors that are listed on the first page of our presentation. Euronet does not intend to update these forward-looking statements and undertakes no duty to any person to provide any such update under any circumstances. In addition the PowerPoint presentation includes a reconciliation of the non-GAAP financial measures that we'll be using during this call to their most comparable GAAP measures. Now I will turn the call over to our CFO, Rick Weller. Rick?
Rick Weller: Thank you, Jeff. Good morning and thank you all for joining us today. I will begin my comments on Slide 5. We began 2018 delivering revenue of $550 million, operating income of $45 million and adjusted EBITDA of $75 million. As you may have read in the press release, when adopting the new revenue recognition standard, we reduced revenue by approximately $22 million from what would have been reported under the former standard. Had we not adopted this new standard, consolidated revenue on a constant currency basis would have grown 11%. First adjusted EPS was $0.73, the same as last year and in line with the guidance we provided in early February. On one hand this $0.73 was burdened by about $0.04 of tax compared to the prior year largely as a result of recently enacted tax legislation in the United States together with a stronger mix of earnings this year from countries with higher tax rates. On the other hand, the $0.73 when compared to our guidance includes a couple pennies of tax benefit from a better than expected tax rate stemming from one-time favorable conclusions of open taxiers [ph] in certain countries. However that couple have since benefit was offset by a non-recurring legal settlement in the money transfer segment and a rate decrease we agreed to for sizable Middle East money transfer agent in return for increased volumes we anticipate for the balance of the year. So net-net, against our guidance a couple of pennies of non-recurring headwind in money transfer offset by a couple pennies of non-recurring tax benefit. Bear in mind, that each penny is about $500,000 so all in all with a couple of pennies of foot take here and there. Our quarter shook out pretty much as expected it. And while we always welcome some extra tax benefit, we continue to believe our effective adjusted EPS tax rate will be in the mid-20s throughout the balance of 2018. Finally, as you may recall in our 10-K disclosure we repurchased approximately 1.4 million shares in the first quarter. It should be noted that we have that map in our $0.73 expectation. Slide 6, shows our three-year transaction trend by segment. EFT transactions grew 16% from the expansion of our ATM and POS processing in Europe and India. Epay transactions declined 16% with a decline coming principally from the Middle East where as we noted in prior quarter updates. We ceased processing for a large distributor with low value, low margin, mobile transactions. Total money transfer transactions grew 17%, money transfers grew 17% and non-money transfers grew 22%. Money transfer growth came from double-digit growth across Ria's businesses. United States, Europe and Asia Pacific. Next slide please. On Slide 7, we present our results on an as reported basis, the year-over-year changes in currency varied widely. But for the most part currencies appreciated against the US Dollar. To normalize the impacts of these currency fluctuations we have presented our results adjusted for currency on the next slide. Slide 8, for the first quarter EFT revenue and adjusted EBITDA grew 15% and 11% respectively while operating income remained constant year-over-year. Revenue and adjusted EBITDA growth was the result of continued deployment of ATMs in Europe and India. With India operating free of the burden of the cash demonetization. We also have been pleased to see the emergence on a favorable impact of the demonetization. That is more transactions driven by more bank accounts opened in India. Gross profit per transaction held consistent with the prior year. The flatness in operating income and slight decrease in operating margin was largely the result of the increased depreciation and other costs from the larger estate of seasonal ATMs including approximately 1,000 more winterized ATMs, this year versus last year. While the first quarter is burdened with higher operating cost from newly deployed ATMs as you've seen in prior years. We expect these ATMs to produce nice returns as we move into our seasonally higher quarters. Epay constant currency revenue decreased 1% and it would have increased 9%, if not for the new revenue recognition rules where we were required to reduce revenue by approximately $16 million on a constant currency basis this quarter. Compared to what we would have reported under the former standard. So on an apples to apple basis, under the former revenue recognition standard. From the 9% growth approximately eight of the 9% came from more [indiscernible] sales in the first quarter where that revenue would have been recognized at gross face value rather than on a commission basis, as we do in the rest of epay. Accordingly, if netting the revenue growth down for the higher gross value recognized revenue epay grew revenue approximately 1% year-over-year largely in line with our expectations of low single digits for revenue. As I mentioned in the previous slides, we ceased processing transactions for a high volume low margin distributor compared to the prior year. But as can be seen in transaction margins, these transactions made minimal contributions to the business. Declines in mobile transactions and revenue continued to be offset by growth in non-mobile notably software and gaming. When compared to epay's effective revenue growth of approximately 1%, the 8% growth in operating income reflects the growth of non-mobile contributions to offset mobile declines together with continues attention to expense management. Epay margins per transactions improved due to the exit of low margin Middle East transactions and continued shifts from mobile to non-mobile. I would also note that epay operating margins on an apples to apples basis held tight year-over-year. Double-digit money transfer revenue reflects the 17% transaction growth I mentioned earlier and as you know includes the lower Walmart to Walmart transaction pricing we've agreed to last year to extend the agreement by three years. The three-year declines in operating income were largely result of the Walmart to Walmart rate reduction together with increased investments we discussed last quarter related to the upgrade and expansion of our network in India. The Walmart as the UK launch as well as a couple other items that came into the quarter that I mentioned earlier. Legal settlement cost and rate concession we provided a larger Middle East agent to drive volume. As we anniversary Walmart to Walmart extension in the second quarter and the non-recurring items drop out of our P&L. As we move throughout the year, we would expect to see our operating margins ramp back to the pre-extension margins and give us a cleaner view of year-over-year results. Overall, our segments got off to a good start for the year and we're well positioned to have another very good growth year. Next slide please. Slide 9 now. During the quarter our balance sheet continued to improve. Our cash increased consistent with our free cash flows generated from operations together with draws against our revolving credit facility. Offsetting the additions to cash where epay and money transfer payment settlement timings cash used to fill ATMs as we begin to reactivate winterized ATMs and approximately $125 million used to repurchase shares. Overall this was a good start to 2018, where we positioned our businesses to continue to deliver our historically strong annual growth rate, driven by earnings achieved in our seasonally strongest quarters which we are now moving into. With that I'll turn it over to Mike.
Mike Brown: Thank you, Rick and thanks to everybody who's joining us today. I'll start on Slide number 13 to cover EFT. In keeping with what makes us successful more products on more devices in more markets, I'm pleased to share with you that we just launched two new independent ATM networks one in Bulgaria and the other in Sweden. We now have independent ATM networks in 28 countries around the world. We continue to expand our presence throughout Europe, through outsourcing agreements with banks in Poland and Greece as well as agreements to deploy ATMs in Spain with two large hotel groups Iberostar and Melia. We also continue to find new opportunities to offer our software solutions across many markets. You can see in the slide we're operating solutions that reach Sri Lanka, Lebanon, Bahamas and Indonesia. These types of opportunities are compelling to our business as they allow us to monetize our key expertise and superior technical solutions in areas that we may now have a physical presence. As you can see in the bottom of the slide we also renewed a network participation agreement with one of our banks in Poland. Next slide please, Slide 14. As I discussed new products launch this quarter. We have grouped them into three categories. Value added services on ATMs, card and POS outsourcing customers and software solutions for bank. We'll start with the value added services on ATMs where we expanded our valued relationship with Piraeus Bank in Greece, through implementing bill payment via credit cards at a self-service kiosk. In addition we launched ticket voucher distribution through our ATMs in Hungary, this is the second market we've introduced ticket vouchers through our ATMs as we started in Spain last year and we're looking to launch similar offerings in new markets later this year. Our card and POS outsourcing customers, we launched POS DCC arrangements in Greece and UK markets and partnered with Yes Bank in India for 3D Secure Issuer authentication services. For software solutions, we implemented a broad array of solutions such as ITM Switch and Debit Card Management System. MasterCard Acquiring at POS and ATMs. MasterCard EMV Credit Card Issuing which enables chip, card and notification solution. Our software solutions span countries including India, Sri Lanka and Suriname just to name a few. Next slide please. This is Slide 15. As part of our focus to provide new value added solution I'm excited about small acquisition we recently made called Innova Tax Free Group. Innova which is headquartered in Spain specializes in VAT refunds for the international traveler currently operating in 10 countries. With Innova, Euronet will offer merchants a three-in-one solution bringing together card processing, multi-currency processing/DCC and VAT refund. In addition, we will be able to leverage this existing technology and infrastructure to integrate Innova solutions into our ATM. This is another example where we're able to integrate new innovative solutions into our portfolio. Thanks in a large part to our superior technical infrastructure and expertise which offers the flexibility to introduce such solutions on our company-owned estate of ATMs at our discretion. Again more product on more devices in more markets. We finished the quarter with 38,358 ATMs live a 9% increase over last year. Including winterized ATMs which are expected to contribute later in this year during seasonal peak, ATM growth would be at about 11% over the prior year. During the quarter, we added a net of 571 high value ATMs across Europe and India. If you break apart the net increase however, we had growth additions of 812 ATMs offset by a 241 ATM reduction largely attributed to low performing ATMs from our YourCash acquisition. We had anticipated a small rationalization at some point following that acquisition. Based on deployments in the first quarter together with feedback I received from the EFT team regarding ATM additions later in the year. I remain confident that we'll meet or exceed our previously stated forecast of 3,500 high value ATM additions during the year. So while we keep up the momentum on ATM deployment. We also keep a careful eye on regulatory matters. To that end, since our last call the EU commission has issued a proposal that sets up a process for DCC regulation. The proposal itself does not include any specific DCC regulation, it just would authorize the European Banking Authority or EBA to formulate transparency guidelines for DCC and impose a transition period cap on DCC margins while those guidelines are being implemented. Everybody's asking about timelines, so the timelines as we see it for adoption of any final DCC regulation in cap certainly depend on the EU legislation process which is very uncertain, but typically involve few success of step. First the EU proposal that was recently issued needs to be adopted by parliament in some final form and we believe the earliest that will happen in late this year or early 2019. That would start the timeline on the EBA's consideration of the transparency guidelines in cap. The EBA is been given six months to propose this guidelines but it's likely that it will take more time than that. The EBA's guidelines then need to be adopted through the EU legislative process, so we believe a realistic timeframe for final adoption of DCC guidelines and cap by the EBA is sometime in 2020. Upon adoption of the guidelines there would likely be another 36 months until final implementation and compliance of any of these new DCC regulations, which would put it into 2023. In summary, based on our analysis of what we've learned over the last few weeks. It now appears that the implementation timeline for a potential cap could well be into 2020 nearly a couple of years from now. On one end, this view stretches out the uncertainty period which I don't particularly like, but on the other hand it would give us more time to further grow and develop our business to overcome any potential downside effect impact, if any at all of these decisions. As I reflect on the uncertainty of the DCC matter, I can't help but recall the number of issues we've encountered over the years ranging from MasterCard, Visa rate changes in Poland and Germany. In Poland, Germany debit card rate changes. US economy that handed us 40% decline and transfers to Mexico, a global financial market dislocation driving 20% decline in foreign exchange rate and a cash demonetization event in India. And as Rick reminds me in the 15 years that he's been here at Euronet, we have grown both revenue and profit sequentially every single year and I've no reason to believe, we will not be able to continue with this trend. We've already started to think of alternative ways with some potential opportunities already identify to recover any downside impacts, should they come our way. And I'm glad to tell you that I believe we have well more upside than we have downside. Accordingly, well I would welcome a finality to this DCC matter. I'm more focused on keeping the business moving forward in our customary double-digit revenue and profit growth passion and I look forward to confirming that with you quarter-by-quarter. Now let's move onto Slide number 18 for epay. Epay continued to see expansion in its non-mobile volumes in the first quarter which effectively offset declines in mobile volumes. This expansion resulted in modest gains on an overall margin basis. In particular, we're expecting nice growth in our software and gaming categories across multiple markets. We launched Xbox and PlayStation into X-cite, a large electronics retailer in the Middle East. In addition, we continue to execute on our strategy to expand distribution through more digital channels. We added software content distribution to Harvey Norman's online store in Australia and also launch gaming content on the Penny's online store in Germany. Next slide please, Slide 19. Under the signed agreement section you can see more examples of broad distribution of non-mobile content across multiple countries. Epay is also entering new markets like the Nordic, Egypt and South Africa. In part, this market expansion is driven by strong relationships with our brand partner. For example, we signed an agreement to distribute Microsoft Office and Xbox in South Africa this quarter. The epay segment is also exploring new and diverse ways to deliver growth from our existing infrastructure and retail connections. In that vein, we've entered into agreements with various alternative payment schemes and wallet company. In Australia we launched Alipay and WeChat Pay across numerous high value retailers and we have a strong pipeline of interested merchants to onboard. We also have agreements to launch Alipay and WeChat Pay across Europe. Our first merchant will be Drogeriemarkt Müller, a large drug store chain in Germany which is an existing epay customer. As part of our digital channel strategy we're leveraging existing wallet relationships. In India, we launched the distribution of Google Play through Paytm and PhonePe wallets. Overall I would characterize these new opportunities as being in the early stages but I'm excited about their potential based upon the emergence of numerous alternative payment option. The relative quick adoption of these same options by consumers and the interest by retailers to adopt and support these alternative scheme. Epay is an ideal position to leverage its existing asset to deliver these solutions with nominal effort, by the payment scheme and retailer. Overall I'm pleased that epay continues to execute on its strategy on ways to diversify its product portfolio and expand channel and geography distribution while also maintaining its operating margin. Now let's move onto Slide number 22. Where we can talk about the Money Transfer segment. Q1 marked something of a milestone for Ria, as our money transfer network now reaches 350,000 locations and our team has no intention of slowing down either as they added another 18,000 locations to the pipeline this quarter, with the signing of 24 new correspondence across 22 countries. Among the highlights of our network expansion efforts include the signing and launching of Siam Commercial Bank in Thailand. Siam Commercial Bank was exclusive to one of our competitor and will expand our network by over 1,100 locations once the rollout is complete. As we mentioned a couple of quarter ago, when we announced the signing of government's savings bank in Thailand. Thailand is the 25th largest receipt [ph] market in the world, with global volume of 6.3 billion as well as an important [indiscernible] market and we're excited to expand our network in Thailand with these two partners. Staying in Asia, we opened bank deposits service to Korea our initial entrée into this market. This service will enable Ria to deposit funds directly into account holders at 18 different Korean banks. Another important signing this quarter is FaturaVizyon in Turkey. Turkey is an important market for our European business and we've seen nice growth from it over the past four years despite our network being fairly small. FaturaVizyon will add another quality cash pick up location for our customers with a network that will nearly the double the size of our existing network to around 10,000 total locations. And other highlights, as you know our team has been working hard over the last 10 months or so rolling out our new network in India. Well I'm proud to announce that we have completed the rollout of the retail portion of our network and we're now the second largest cash pick up network in the country. Retail, I mean the store locations of the three agents we announced last May as well as their sub-agents. We still have many bank locations set, but it's the retail networks that's the most predictive in India, by no means are we done though and we have additional strategic partners in the pipeline that are signed and awaiting the Reserve Bank of India approval and of course what is most important is we're seeing transaction growth of over 400% compared to the prior year and India is now our 10th largest pay out market, whereas it was largely insignificant just a few years ago. Given India is the largest pay out country in the world. We're optimistic that we will continue to see significant growth in this market. On the business performance side, Ria delivered 17% money transfer transaction growth during the quarter with every region contributing to strong double-digit growth. Our Europe and Middle East businesses led the way with transaction gains of over 20% while our India cash pick up product is certainly helping to drive some of the growth in the Middle East. The truth is we're seeing strong business in virtually all of our corridors from the Middle East. Our digital business also delivered a very good quarter with transaction growth of 34% and revenue growth of 48%. We're seeing really good traction for this business in both the US and our newer markets. Our US digital business continues to deliver solid gains with transaction growth of 20% or more in nine of our top 10 corridors. The digital team has a lot on their plate this year, with plans to expand into several new markets. They're working on a redesign of the web version of our digital product, that will bring many customer experience improvements along with added functionality as well as further upgrade to our mobile app. It is not a surprise that we see digital as an important part of our future and the team is laser focused on accelerating our growth of the digital channel. One example is our collaboration with Serve the former Amex prepaid card recently acquired by InComm where we've added a new P2P product that allows Serve customers to send money to other Serve customers. But the important thing is, that our digital team continues to grow their existing business rapidly while managing the demand of product and geographic growth expectations at the same time. And finally our international payments business delivered a solid quarter with double-digit revenue growth. This business tends to be susceptible to macroeconomic variables while Brexit and low FX volatility have been sort of headwind for the European business. The north American and Austroasian [ph] businesses continue to perform nicely. We're also pleased with some of the underlying performance metrics where in addition to revenue growth our active clients grew 21% this quarter. so the first quarter results have set a positive tone for the start of the year and we believe the business performance supports near term growth momentum. So wrapping up money transfer for the quarter. I would like to call Q1 an excellent start to the year. we have delivered double-digit growth across virtually all metrics of the business and Ria digital business is showing strength in all of its platform. Our digital international payment's business also delivered double-digit transaction in revenue growth. So overall this was a very good start to the year and the team is working hard to carry that momentum forward to the rest of 2018. Now let's move onto to Slide number 23 to wrap up the quarter. okay, so we delivered adjusted EPS of $0.73 this quarter in line with everybody's expectation. EFT is well positioned to deliver strong revenue and earnings growth this year. we're committed to meet or exceed our 3,500 high value ATM growth target this year as well as rolling out other new interesting new products. We're monitoring the DCC situation closely and will continue to be transparent as we gain more clarity. Epay continues to grow non-mobile and is further diversifying its product portfolio with interesting opportunities. Money transfer outlook is strong with significant growth in our Europe and Middle East businesses and continued network expansion up to 350,000 notably in Asia. Our digital strategy is gaining traction and our international payments business records double-digit growth. Our free cash flow and balance sheet continue to be strong and finally we expect Q2 adjusted EPS to be approximately $1.32 assuming consistent foreign exchange rate. before we jump to the QA portion of the call. I'd like to spend some time reflecting on the potential DCC regulations which seems to have had a punitive impact on our stock price this last quarter. while I can't remove all clouds of uncertainty here. I do remain confident we will overcome the impact that may come, if any. This company have proven its resiliency time and time again to overcome headwinds in the past and I don't expect this one to be any different. It's not just luck that makes this possible. It is the diversity we have in products, markets and geographies. All delivered by a winning team. So when the dust settles and we look to the earnings growth from now until then which we may not know the final impact of DCC until 2023. I expect we will be well ahead of where we are today. With that, we're happy to take questions. Operator, will you please.
Operator: [Operator Instructions] our first question comes from the line of Laura Foreman with Goldman Sachs. Your line is now open.
Laura Foreman: The DCC context what you provide was really helpful and I just wanted to know, could you give us a little bit of insight into some of the high value opportunities you referenced to how you would diversify the ATM business to the overall business away from European DCC. Thank you.
Mike Brown: Well as you might remember. Europe accounts for just north of 60% of the total DCC of the company. and we have expressed interest of moving DCC outside of Europe as you might remember. We purchase Pure Commerce about three or four years ago, which provides DCC opportunities all across Asia and Europe and even the United States. So we've had a focus on DCC outside of Europe for a long time and we will continue to make some investments there. We really see the rest of the world as our palette here and there is a lot of opportunity for DCC outside of Europe. So we'll go after that over the next couple of years.
Laura Foreman: Great and then just one more question from me. It looks like money transfer business is gaining a bit of momentum especially as you wrap the Walmart to Walmart pricing renewal. But can you just comment on money lends Walmart to world product and if you're seeing any competitive pricing pressure in North America there and you know how to think about that relationship with Walmart when the renewal comes up again in two years. thanks.
Mike Brown: So with respect there are kind of two sets of competitors Walmart kind of probably has here. One would be its other very big brand competitors. Other grocery store chains and discount houses and so forth and to those, I think that's where this product was probably focused to try to extract customers from its competitors and bring them into Walmart. With respect to us though, our agents are primarily all small bodegas and ethnic kind of neighborhood. So we don't see and we've been in extremely competitive position with both our smaller competitors and our big guys for many years now. So I don't think I'll see much impact at all from the Walmart to world pricing with respect to us. I do imagine though that you'll see some pressure on the two big names particularly Money Gram itself because it's now taken a lot less revenue per transaction from its biggest customer Walmart than it used to.
Laura Foreman: Got it. Thank you.
Operator: Thank you. Our next question comes from the line of Rayna Kumar of Evercore ISI. Your line is now open.
Anthony Cyganovich: This is Anthony Cyganovich on behalf of Rayna Kumar. Just a follow-up on that last question, could you talk about how Walmart volumes have come in relative to your expectation and following acceleration of revenue this quarter, do you feel like money transfer revenue growth could further accelerate as the year progresses.
Mike Brown: Well you know we initiated the new pricing basically May 1 of last year, it was like April 30 or something like that. so what we believe is that as the transactions continue to grow within Walmart as they have been, by the end of this quarter we should be pretty much back to kind of square one, back to where we were, we'll have much larger volumes but you know same kind of contribution at Walmart. So from that point forward we see growth and margin expansion with that growth as compared to the prior year.
Rick Weller: I mean the only other thing as you said continue to accelerate throughout the year. I thought that 17% transaction growth was pretty good acceleration.
Mike Brown: These analysts always want more.
Anthony Cyganovich: And just as a follow-up for me, could you kind of talk about what your expectations are in terms of revenue and margin profile for each segment in the second quarter to go with your EPS guidance?
Rick Weller: We don't do that, but as we've said in a longer kind of horizon we continue to believe that we've got good strong double-digit and I'll speak principally on the operating income side that we got good strong double-digit prospects for the EFT. We've got - what I'd characterize is really solid double-digits for the money transfer business and as we've said probably kind of in the mid to upper mid single-digit operating income growth out of epay. So we've let's say consistently talked about that expectation out of our business and I'm quite glad to see that our business continues to produce there. So that's about as much as put out there versus specific revenue kind of growth numbers.
Anthony Cyganovich: Okay, thank you.
Operator: Thank you. Our next question comes from the line of Jason Deleeuw with Piper Jaffray. Your line is now open.
Jason Deleeuw: Just on the money transfer about the margins, the commentary there. I'm just want to make sure we understand the timing when you're seeing the operating margins will ramp back to the pre-Walmart price cut margins, is that kind of should we think of that like as an run rate exit 2018 type of thing or is that for like the full year 2018? Just want to make sure we think about that correctly.
Rick Weller: I would think of it as more of an exit, that's why we use the ramp. We still have a little bit of the impact in the second quarter of the Walmart to Walmart rate change and as Mike said as we anniversary about to square up, but there's a little bit in that month, the first month there. The second thing as Mike said, we've really done a nice job in rolling out these our agents in India, but we still have more work to do and unfortunately in India each agent that we open requires specific approval by the regulators, so that's a time an effort and cost type of thing, then we put some advertising behind that. we're continuing to bring online the ASDA stores, the 400 or so ASDA stores out of the UK and we'll put some promotional activity. So those will be a little bit earlier in the year and then we'll see a little bit more of that come to the bottom line, but we'll start ramping that in the second quarter as we move throughout the year.
Jason Deleeuw: Great. Thanks for that. and then I want to just better understand the merchant processing business. just kind of I believe it's mostly Europe focused, but just from a geography standpoint types of merchants that you process, you did an acquisition here with Innova what are you thinking strategically. It's a business that I believe has now grown faster than the overall EFT segment. So but is that a growth opportunity you see for EFT going forward, the merchant processing.
Mike Brown: I mean we obviously do or we wouldn't have bought Innova. What we're doing is focusing on unique kinds of merchants that have the needs of this kind of triplet that we have, kind of got of trifecta going here we can provide that merchant additional revenue in those customers additional cost savings by offering them value added tax refunds. We can also because they're obviously a foreign cars there's opportunities for that merchant to make money on DCC and we can do the acquiring as well. so we kind of got the trifecta there, we got to focus on merchants where that's most appropriate.
Rick Weller: You may have heard us talk in the past. I won't reiterate any of the names, but we have some very respected large hotel names in our portfolio, some duty free shops in our portfolio and in line with Mike said, those are businesses that would benefit nicely from the triple play product that we now have.
Jason Deleeuw: Great. Thank you.
Operator: Thank you. Our next question comes from the line of Peter Heckmann of D.A. Davidson. Your line is now open.
Peter Heckmann: I wanted to see, if any of your research in the area of the proposals around DCC have allowed you to perhaps put some sort of brackets around any type of cap that might be implemented over the next several years. I mean is there some feedback that would suggest a potentially minimum level of cap or target [indiscernible].
Mike Brown: You know that's kind of the $1,000 question. We really have no idea where the regulators will come out. I can tell you that the banks across Europe are making money on this and it helps their finances. And their rate for DCC range from six to low double-digit and so we'll see that's one point. Also in all that literature in those 100 of pages that you could have read regarding DCC and EBA and all that. They did mention in there that some DCC providers are charging in excess of 30% spread. Okay and they seem to believe that was too much. So I guess I can't tell you where it will fall but it seems like 30% is too much, which is quite a ways outside of our reality and then we'll just have to see what happens.
Peter Heckmann: All right, that's fair. That's fair. We'll stay tuned in there. And then just on the software opportunity you talked a little bit more about that. you talked about upgrading your capability in the 10-K. do you think there's a significant opportunity from an upgrade cycle from existing software customers or new business opportunity from upgrading from other providers?
Mike Brown: We do and also believe we've got new technology right now that will be able to sell into the types of banks that we've been unable to sell our product into here [indiscernible]. Based upon the scalability and the new technology that we have, so we see software over the next several years as a growing piece of our business.
Rick Weller: One of the important parts about our internally developed proprietary software is, if you think of it as being switching product, it's not limited to car processing. We can switch virtually anything, if we wanted to switch finger prints, we can switch finger prints. Okay, so our structure, our technology is not dependent upon the old historical ways of transacting. This is where when Mike commented on some of the things we're doing in whether it's an EFT or an epay where we're looking at and doing transactions with alternative payment providers. We're doing these transactions outside of your traditional card settlement organization, that's also reflects the value of other assets that we have and that is, we don't just move a transaction around. We move the money related to the transaction. So someone wants to use our state of more than a million devices across our geographical footprint, we can handle that transaction whether it's a card, whether it's a virtual number. Whether it's a bar code, 3D. we can handle that transaction and then we can settle the monies between the card guy or that payment guy and the merchant. So we're excited about this software as well as the assets we have to take more advantage of it as we continue to grow.
Peter Heckmann: That's great. Just one quick maintenance question I'll get back in the queue. On the small acquisition, can you just give us an idea of what the annualized revenue might be and when that'll be closed?
Rick Weller: It won't move the needle. It is already closed and it's a good way to add a product without it being dilutive to our P&L. but the important part is because it won't be immediately contributory nor dilutive to our P&L on a standalone basis, it really gives us that third product to go to a merchant with a much stronger and a more compelling opportunity for that merchant. So no real impact in our business, but certainly a great addition to our product portfolio.
Peter Heckmann: Great, cheers. Appreciated.
Operator: Thank you. Our next question comes from the line of Andrew Jeffrey with SunTrust. Your line is now open.
Andrew Jeffrey: Appreciate the succinct growth outlook summary that's really helpful. One of the areas where obviously you're doing extremely well is India and I wonder if you can help us understand how much of a contribution India might be from a growth standpoint and I'm thinking specifically in EFT. You know when I looked in the 10-K it's still a relatively small part of your overall revenue but it's big market and EFT, it offered some EFT diversification. So can you help us frame up the India contribution in your ATM business and [indiscernible] market?
Mike Brown: Well we don't have to, you can see the percent that India kind of has of the whole EFT market. It's kind of like around 10%. But the interesting thing is, you saw last year that EFT kind of grew it bottom line by 35% or 36% if I remembered correctly. India this year compared to last year of course it had some problems last year is going to beat that number. So it will be an even bigger percent of the total EFT this year than it was last year. it's just screaming right now, which is great.
Rick Weller: In India, it's one of these markets that has a lot of excitement about it just because of its size and we've been there for a while, but we're really starting to see where we're having contribution to our business from India from all three segments. Whether it's doing transaction processing for the likes of Paytm or Flipkart or you know go through the list or it's doing ATM or it's doing money transfer like with our upgraded and improved now number two network in the country. And so all three segments are starting to have a greater and greater contribution and then finally I would say, look that's a we've got a good team in India that is on that side of the globe and will give us the ability to expand in other markets as Mike said, there's opportunity well beyond Europe on ATM deployment and development and we've got a team that is expert in that and can really help us there so. It's beyond India and then, just to put in comparison because we won't put out like profit numbers on India. Just separately on money transfer keeping mind that, that's a $75 billion receipt [ph] market that's three times what the Mexico market is. So clearly a very big market and we're firmly planted in all three segments there.
Mike Brown: And as Rick said, I think one of our biggest assets we have there, we've got technology, we're deploying new technology. But we've got a really capable leadership team there and when you have that, then they can focus on not only in India, but the rest of the region.
Andrew Jeffrey: Okay, that's helpful. Thank you and then quickly Mike, can you comment capital priorities. You did buybacks on stock. I believe it was higher in the fourth quarter.
Mike Brown: Yes we thought it was a pretty good buy at $10 past today's price. So we when it comes to capital allocation we'll use it the same way as we've always used it. We go where our preference is always on acquisition that keeps on growing kind of that gift that keeps on giving. If we can't use it there, then these ATMs we keep growing our ATMs but we can't grow our account on ATMs fast enough to really eat through enough of the cash flow. So we will look at stock buybacks if the market doesn't treat us well and we believe the opportunity is in excess of where the market puts us. So we'll just keep looking there and we're careful. We've been very financially conservative, but we'll do it the same place as we've always done it.
Andrew Jeffrey: Thank you very much.
Operator: Thank you. Our next question comes from the line of Mike Grondahl with Northland Securities. Your line is now open.
Mike Grondahl: Congratulations on the quarter despite the ASC 606 Reg 2. Two quick questions, one on Page 13 of the deck the two outsourcing agreements that you signed, it seems like we haven't had one of those in a while, what do you think of those two that you signed and are there any more out there?
Rick Weller: Well the short answer is there are more out there, Mike. As we've said in the past we've said we've seen some newer opportunities emerging on the outsourcing, we think that banks of - let's say for the most part digested the financial crisis, dealing with their capital structure some of the sovereign debt issues and things like which kind of gets it back to the point of figuring out, how they can be more efficient and run their business and part of that is, we simply offer a solution that cost less and gives more capability for their customer. So there are other opportunities we've commented on the past, but Mike you might have any other comments on those.
Mike Brown: Dealing with banks is a lithe challenging because sometimes they don't make very good business decisions, but the reality is we can do outsourcing for banks more cost effectively with better uptimes than anybody on the planet and we have the most sophisticated software to do so. Banks are now starting to realize that software also gives them additional capabilities for marketing and other customer interfaces, so we're going to keep selling and as we get more of them, as we get more the word gets around. We also can - these ATMs typically think people think of ATM in a cash out version that's it. Well you remember, we sell products on our ATM, we've got probably 2,600-2,700 of our ATMs are deposit machines. Where they'll take bunches of currency and you can put it into the machine and it counts it and give you immediate credit, this is great particularly for the emerging market banks because they've got a real, they've got to manage cash both come in and out because so many of their purchases in their country, merchants are kind of cash based. So we just have a whole plethora of opportunities to help banks be more efficient and so we hopefully get more, we should get a lot. But we're waited on the banks to make that realization.
Mike Grondahl: Got it and then Page 13 and 14. Does anything stick out there one or two items that could move the needle over the next year to?
Rick Weller: Mike what I would say just like with a lot of our business it's not one item that moves the needle. This is a - as a guy said one time when you're up laying bricks by a cathedral you're putting it on brick-by-brick and you stand back and you got a wall over cathedral. I mean our business is brick by brick, it's more product, its more devices, and it's more market. So now the themes of some of these again become maybe more significant here. As Mike commented on earlier, our software truly gives us an advantage, we do cardless payout transactions. We do ticket type of productions. We do rebates for large mobile phone manufacturers. And more and more of these I'll just call them alternative payments. People that do not have the ability for a person to get cash through your traditional ATM because it takes a card. Well we don't have to have a card and so I think it's probably some of the themes that will be more meaningful to us as oppose to anyone individual point that we've made on an expansion on this page, but Mike you've got other observations.
Mike Brown: I mean I'd just echo what Rick said, it's that's actually one of our biggest financial strengths for people who are buying our stock. We don't have an enormous blocks you take out and then we're in really big trouble, which is lots of bricks and so we'll just continue to do that and the more of these fields. It's interesting when you sell one of these kind of not off the shelf products to somebody to bank. The other banks in the market have to be competitive so then they start to talking to you. So we'll continue with that into the future.
Mike Grondahl: Sounds good. Thank you guys.
Mike Brown: And operator, I think it's 9 'o clock or past 9 'o clock. So we better take one more question and then we'll call it quit for the day.
Operator: Yes, sir. Our final question will come from the line of Josh Elving of Lake Street Capital. Your line is now open.
Josh Elving: I hate to go back to the DCC. Well I had one more question that hasn't been discussed and that is, historically you talked about having a couple of different revenue models for your ATMs throughout Europe and if we were to just fast forward a couple years and some kind of cap has gone through. What is your flexibility to redeploy some of those ATMs and how would you describe the market throughout Europe to do that or the other [indiscernible]?
Mike Brown: I mean you might have heard in today's Q&A our presentation we talked about how we 200 and some ATMs that we took off the streets that were associated with YourCash. I mean basically we're putting on ATMs all the time and we miss a few. We pick really good site for the best site pickers in the world by far, but sometimes we miss. So actually redeployment of our assets is just part of what we do every day. It's business as usual.
Rick Weller: You know I would then further add that, when you take a look at the deployment of ATMs in Europe and the further east you go, the number of ATMs per population or that's out there just drops consistently as far as you go east and then on the other side of that, what you see is that accounts being open. Bank accounts being open and cards being issued has a completely the reverse kind of turned where they're just continuing to go up and just like we saw in India, where the fear was that, as bank accounts opened people would stop doing ATM transactions. They would just do card transactions. In fact that's not the case. When people put their money in a bank account their habits drive them back to picking up cash and we've seen the emergence of that in India. So there is plenty of yet great opportunity to deploy ATMs in Europe, there's more and more accounts being open even in the farther east, you go into Europe and even more so as you go farther east into India, Asia Pacific etc. so I think that we have a very strong opportunity if we need to deploy these ATMs, there will be plenty of market to deploy there.
Mike Brown: And we look at every ATM has its own little P&L. so ATM by ATM we make those decisions.
Josh Elving: Okay, I guess helpful. Then I guess we saw some press recently and I know you talked a little bit about India and the ATM business. We saw some press recently that described a little bit of cash crunch recently in India kind of second cash crunch following the demonetization. With the bunch of ATMs being drained of cash, have you seen any impact on yours?
Mike Brown: We saw a little cramp for about three or four days, nothing that would really affect us and everything was back on track.
Josh Elving: Okay good and then I guess one last quick question in epay. You talked about the customer that you no longer have in the Middle East that the high volume, low margin cost do you have many similar customers like that?
Mike Brown: No, that might have been the last one, but that's pretty close to the last one.
Josh Elving: Okay and could you offer, any kind of color? I know you that the mix is shifted from top up to non-mobile products. Where is that mix lie today from either revenue or op income?
Mike Brown: Well we do it by margin and is around 60.
Rick Weller: Approaching two-thirds.
Mike Brown: Yes, 65%. Yes is non-mobile in margin. So call it two-thirds, one-third.
Josh Elving: Great. Thank you very much.
Mike Brown: All right. Operator I think we can adjourn for the day. I want to thank everyone for taking the time to listen to it today on the phone. We'll be happy to talk to you later. All right. Thank you.
Operator: Ladies and gentlemen. Thank you for your participation in today's conference. This concludes today's program you may now disconnect. Everyone have a great day.